Operator: Good day, ladies and gentlemen, and welcome to the WSFS Financial Corporation Fourth Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session; and instructions will follow at that time. [Operator instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mr. Dominic Canuso, Chief Financial Officer. Sir, you may begin.
Dominic Canuso: Thank you, Amani, and thanks to all of you for taking the time to participate on our call today. With me on this call are Rodger Levenson, President and CEO; Mark Turner, Executive Chairman; Art Bacci, Chief Wealth Officer; Steve Clark, Chief Commercial Banking Officer; and Rick Wright, Chief Retail Banking Officer. Before Rodger begins with his remarks, I would like to read our Safe Harbor Statement. Our discussion today will include information about our management's view of our future expectations, plans and prospects that constitute forward-looking statement. Actual results may differ materially from historical results or those indicated by these forward-looking statements due to risks and uncertainties including, but not limited to the risk factors included in our Annual Report on Form 10-K and our most recent quarterly report on Form 10-Q, as well as other documents, we periodically file with the Securities and Exchange Commission. All comments made during today's call are subject to the Safe Harbor statement. With that read, I'll turn the discussion over to Rodger Levenson.
Rodger Levenson: Thank you, Dominic and thank you to everyone for joining us on the call today. We are pleased to announce that in the final year of our 2016 to 2018 strategic plan, we recorded record operating results with net income of $134.7 million, earnings per share of $4.19 and ROA of 1.92% and an ROTCE of 23.72%. Our fundamental performance combined with our transformational acquisition of Beneficial Bank provides WSFS with significant momentum and long term opportunity, as we move into our 2019 to 2021 strategic plan. Our comments today are a bit longer than normal and will be divided into three primary sections. Dominic will begin with a recap of 2018, and then I will provide an update on Beneficial and the 2019 outlook including our three year ROA targets. At the conclusion of our prepared remarks, the team will be happy to answer any questions. I will now hand it back to Dominic.
Dominic Canuso: Good afternoon, everyone. Our reported results for the full year 2018 included two positive non-core item. Gains related to our investment in Visa class B shares, which increased noninterest income and insurance recoveries from two legacy legal matters, which reduced our noninterest expense. In discussing our core performance for the year, I will be excluding these two items, as well as our normal practice of excluding securities gains, which were minimal for the year along with corporate development expenses, which were entirely related to Beneficial and consistent with deal expectation. Highlights for the full year 2018 included first, core net revenue growth of 12% compared to 2017, balanced between an 11% increase in net interest income and 13% growth in core fee income. Second, loan growth of 2% for the year. This was below our expectations, as strong growth in consumer loans was offset by commercial loans, which were flat for the year. As mentioned in previous quarters, we maintained our pricing and structure discipline in a very competitive market, which led to lower than anticipated fundings. In addition, we experienced the high level of payoffs due to liquidity in permanent and non-bank market. However, this discipline significantly contributed to our strong growth in our net interest margin and net interest income and more than made up for the lower than expected loan growth. Third, strong deposit growth with total customer deposits growing 8% for the year when compared to 2017, and on the high end of our expected range of mid to high single digits. This growth in conjunction with moderate deposit betas continue to demonstrate the strength of our core deposit franchise. Fourth, full year reported net interest margin was 4.09%, which represents a 14 basis point improvement over 2017. Going into the year, we expected a net interest margin in the low 3.90s for the year. Our out performance was driven by the previously mentioned disciplined loan and deposit pricing and a balance sheet structure to be well positioned for rising rates. Fifth, well diversified core fee income growth of 13%, driven by our wealth and Cash Connect businesses and consistent with our outlook of low double digit growth. Sixth, expenses were well managed with a core efficiency ratio for the year of 59.1% inclusive of higher variable performance based compensation. As discussed in our earnings release, this is in line with our 2018 expectations of slightly under 60%. Core noninterest expense growth of 9%, supported the 12% core net revenue growth resulting in 3 percentage points, 4 percentage points of positive core operating leverage for full year 2018. Seventh, total credit costs were $14.6 million in 2018 within our range of expectations of $13 million to $15 million for the year. Overall, our credit quality metrics remain stable and at very favorable levels. And finally as a result of our performance, we achieved a full year core ROA of 1.63% and core ROTCE of 20.18%. As a reminder, this performance came entirely from a -- organic growth and significantly exceeded our full year financial and strategic plan target of 1.50% core and sustainable ROA.
Rodger Levenson: Thanks, Dominic. Turning to Beneficial, we are pleased to report that shareholders from both companies overwhelmingly approved the merger in December. In addition, the regulatory approval process is moving along as expected and we remain on track for a closing on March 1st. As outlined previously, our systems and brand conversion is scheduled for the last weekend in August, which is also when the majority of the branch consolidations will occur. This six month period post closing will provide ample time for integration planning and training to ensure a smooth conversion for both customers and associates. Teams from both companies have been working diligently and collaboratively on the integration plan. 35 key business teams with representatives from both organizations are working very closely with our integration management office with weekly updates with our Executive Management Steering Committee, and are also reviewed monthly with the Special Integration Committee of the Board. Overall, we are very pleased with our progress to-date and look forward to becoming one combined company in the near future. Finally, I will provide a high level outlook for 2019. In many respects, the development of our 2019 plan began last summer when teams from both companies worked together to establish the baseline for the financial modeling supporting the Beneficial combination. During the five months since our announcement, our original assumptions for combined operating results, cost and revenue synergies and corporate development expenses have been affirmed providing the template for the 2019 plan. As a reminder, the plan assumes a March 1st close of Beneficial resulting in 10 months of combined results and a systems and brand conversion at the end of August. Highlights of the plan include first, loan growth in the low single digit, as low to mid single digit organic growth is offset by normal merger attrition in the consumer mortgage and commercial real estate portfolios. Second, deposits to remain flat to slightly decreasing, as low single digit organic growth is offset by attrition related primarily to our branch optimization plan, as part of our delivery transformation. Both loan and deposit attrition levels are expected and consistent with our original modeling. Third, our net interest margin just under 4.10%. This includes model purchase loan accretion and balance sheet optimization. This also incorporates increasing deposit betas and the expectation of one interest rate hike in June, in line with Fed fund futures, when the plan was completed in December. The NIM impact of no rate increases, as indicated by the recent futures market could be in the range of a couple of basis points. Fourth, core fee income growth in the high single digit after normalizing for the sale of Beneficial's insurance business in late 2018. Fifth, excluding corporate development and other one-time merger-related expenses, a core efficiency ratio of around 58%. Sixth, total credit costs of around 25 basis points on average loans or $18 million (ph) to $22 million for the year. As a reminder, these costs can be uneven from quarter-to-quarter and reflect anticipation of a continued stable economy. Seventh, a full year core effective tax rate of approximately 23% to 24%. Please note that our reported effective tax rate will be closer to 30% to 31% due to transaction-related tax treatment. Finally, a note on capital management. As stated in the release, we intend to continue our long standing policy of returning at least 25% of annual net income to shareholders through a combination of dividends and share repurchases -- repurchases. The Board approved a new share repurchase authorization in December and at current pricing levels, we have a bias toward repurchases. We will evaluate the amount and pace of repurchases when we come out of the blackout period after the merger closes. Overall, we expect to achieve a full year core ROA of 1.50% in 2019. The first half of the year results will be impacted by the typically slower first quarter, driven by seasonality and the transaction closing. We would anticipate ROA increasing during the second half of the year. Looking beyond 2019, our new three year strategic plan reflects a fully integrated Beneficial including realization of a 100% of cost savings and planned revenue synergies. Consistent with prior modeling, we target a core ROA of 1.65% in 2020, and 1.75% in 2021. This obviously assumes a stable economy and rate environment. In summary, 2018 saw a successful completion of our last three strategic plans, which took us from a zero ROA in 2009 to 70 basis points in the first quarter of 2013 to a full year core ROA of 1.63% and a core ROTCE over 20% in 2018. Our upcoming transformational combination with Beneficial gives us the opportunity to deliver continued very high levels of quality performance through our new strategic plan and for many years to come. At this time, we would be happy to take your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Michael Perito with KBW. Your line is now open.
Michael Perito: Few questions from me. I wanted to start you know, the -- all the outlook commentary on 2019 and the Beneficial transaction is really helpful. You know, the one area, I was just kind of curious on as the deal closes can -- closure here is just, can you give a little bit more guidance on how the balance sheet size will shake out after the deal closes. And any of those adjustments that we've talked about in the past in the investment portfolio and borrowings et cetera will remain, where you kind of -- kind of think the total assets will trend post all those adjustments and the deal close.
Dominic Canuso: Sure, Mike. This is Dominic. So first as we've discussed before we see an opportunity to restructure the combined balance sheet at and just after the close of the transaction to optimize the significant liquidity and cash at Beneficial. They are -- they are sitting on $1.3 million of cash of short term -- $1.3 billion of cash, short term investments, investment portfolio and we will be leveraging $300 million of that cash to pay for day one transaction, compensation along with restructuring the balance sheet half of which will go to pay down overnight funding that is higher cost, and then restructuring our investment portfolio to increase the yield from the low two percentage points it is today to the mid threes. That will result in about $0.5 billion net reduction in the pro forma balance sheet shortly after the transaction, and then we'll grow throughout the year. We do see loan growth on a consolidated basis of about 2%. We'll increase the balance sheet from day one throughout the remainder of the year.
Michael Perito: Helpful, Dominic. Thanks. And then so on the low growth side. I mean obviously 2% relative to where you guys were on a percentage basis does not seems really that huge of a number, but obviously on a dollar basis, it's a much larger number and it does seem like there's some market dynamics that are making things a bit challenging right now including some increased competition from non-bank lender. So I'm curious where -- how do you guys view that 2% number in -- in the light of all those things that you've discussed and I just mentioned and I guess, where do you see the growth coming from, is it from these new lenders you brought on and is there expectation that you'll bring more on over the course of 2019? Or -- or is it that's just really baked in from the current team and the production you expect to rebound over the course of the year.
Rodger Levenson: So this is Rodger. I'll start and then Steve can add some color -- commentary. So obviously, just to reiterate that 2% is net growth, so that would include the attrition that I referenced to in my comments, which is I think normal and expected of -- for transitions like this and also includes the one-off of some legacy consumer portfolios at Beneficial. So we feel organic growth in the low to mid single digits for us going forward is appropriate considering the amount of momentum that we feel in the marketplace, which includes not only the hiring of those new lenders, we're talking to other new lenders, we're getting a lot of very positive feedback in the market, as we go out and talk to new customers, and we're hearing positive things from our existing customers because of our larger balance sheet. So we feel very good about the opportunity for organic growth in 2019.
Michael Perito: Okay. Lastly, I didn't -- Rodger, I didn't hear you mentioned the number specifically. But what was the size if we do repurchase authorization that the Board approved?
Rodger Levenson: So as we said -- I said on the call and we referenced in the -- in the release, we have approval to go back in after the deal closes, and we come out of blackout to resume our long standing policy of returning 25% of annual earning in a combination of the purposely low dividend and share repurchases, and so that's where we will start. And then as our earnings trajectory grows and our capital levels build, we will look to do -- certainly look to do increasing amounts of share repurchases especially at these price levels. So we have ample authorization -- we have ample authorization to continue the program of 25% return to shareholders.
Michael Perito: Okay. So is there no specific authorization amount that's been disclosed, is it just generally to complete the 25% payout target or…
Rodger Levenson: Yeah. I'd say that's accurate. If you look at our earnings, it's our -- the current authorization that we have. And again, remember this is in conjunction with capital levels and other things and we're in the middle of an application process. It's a little bit under 500,000 shares. But we would expect to revisit that when we come out of blackout, as I said.
Operator: Thank you. Our next question comes from Austin Nicholas with Stephens. Your line is now open.
Austin Nicholas: Maybe just back on the NIM guidance. Could you remind us what the expectation for accretion is within the slightly under 4.10% NIM guidance?
Dominic Canuso: Sure, Austin. This is Dominic. Included in that is a net accretion, which includes purchase loan accretion, and then the marks on the CDs and borrowings around 30 basis points on a full year basis.
Austin Nicholas: Understood. That -- that's helpful. And then maybe just switching gears to the fee income part of the business. Could you maybe give us some outlook on the profitability and maybe kind of net revenue growth outlook in the Cash Connect side of the business, it looked like fee income was strong this quarter, but I know funding changes have resulted in kind of net revenue being a little bit flat over the -- the course of the year. So any -- any thoughts on that business in '19 would be helpful?
Dominic Canuso: Sure. And just to quickly follow-up on your previous question, when we talked about purchase loan accretion, I think it's important to note and we've reiterated this before that given the longer duration of the assets from Beneficial and the lower pricing, we expect that purchase loan accretion to continue for about four and a half years. So I wanted to just follow-up on that point. Within Cash Connect, we do continue to see the opportunity for double digit fee income growth, as they continue to invest and expand their smart safe business, along with leveraging their other fee services across their full bailment customer base. And we also have been discussing over the last few quarters, the repositioning of the funding of that business to transition it from where it has been this year in the 80 basis point range of ROA back to -- toward the -- its historical average of north of 1.30% ROA and toward north of 1.50%, which we expect to do in 2019 and beyond. In fact, the fourth quarter included a one-time true-up adjustment in costs that we shifted from a legacy cash basis to accrual basis on one of our funding line items that under -- that reduced their income. So in fact they would have had net income growth year-over-year by about 5% and an ROA in the quarter -- in the 1.20s. So we are seeing positive trajectory from -- they are repositioning their balance sheet, we expect that continue to -- into 2019. We do anticipate a slightly smaller balance sheet from that business in 2019, as one of their larger customers that has a significant bailment customer will shift and reduce their bailment volume, but maintain their other fee services, and that will also improve ROA. So net-net, net income will be relatively flat year-over-year, but the ROA will consider -- considerably improve into the 1.30s and then we expect bottom line growth from thereon.
Austin Nicholas: Got it. Thanks, Dominic. That was very helpful. Those were the only -- the two questions I had. Thanks.
Operator: Thank you. [Operator Instructions] Our next question comes from Russell Gunther with Davidson. Your line is now open.
Russell Gunther: Just a quick one from me to get things started on the insurance business that Beneficial is selling. Could you guys just quantify the revenue that will be at risk or being, so that's a company with that business, please?
Dominic Canuso: Yeah. I have it here. Hold on a second. Yeah I'm -- I'm --
Rodger Levenson: Sure. Their -- their insurance agency had a little under $5 million of annual revenue that will not be there in the run rate number going forward.
Russell Gunther: Okay. Got it. Thank you. And then just switching gears to the loan growth on the consumer side, there have been a nice source of growth for you guys, as you talked about. Maybe just a little bit more color, in terms of the growth outlook going forward within consumer, you guys could touch upon the -- the partnerships you have with Spring EQ and the -- and LendKey, as well as the type of yield, you'd expect to be able to continue to get on that portfolio?
Rick Wright: This is Rick. In terms of volumes between LendKey and Spring EQ, we would probably expect something in excess of a $100 million for 2019. The -- I don't have in front of me the yields on those, but they've grown a little bit with the -- with the rate changes. I would tell you that the -- credit metrics are solid on both of those, we have in -- I have my paper. The LendKey, where we've got a 768 average FICO on the student loans of which that's about 5% of the portfolio and then consolidation loans about 760. We're seeing nothing in the way of credit deterioration there. And on the Springy EQ side, the underwriting is exactly the same as ours. So again, we've got a very low delinquency on that as well. The traditional -- the traditional home equity business, we're sort of out of push. We might have a little bit of growth next year. We're putting on a lot of volume, but we're having a lot of it run-off and we're having the -- the lines not extended as much as they had been in the past. We were up over 50% utilization. Now, we're closer to the lower 40s.
Russell Gunther: I appreciate the color there. Thank you. And last one from me. I appreciate you guys sharing your -- your thoughts on the ROA within the three year plan. Obviously a lot of would had to do with integration, but are there other kind of bigger picture strategic initiatives you would -- you would hope to accomplish in there that you could share with us beyond the Beneficial integration that's going to help drive that ROA.
Rodger Levenson: Yeah. No. I think -- yeah Russell, really if you look at our three year strategic plan kind of the two major components of that are the full and successful integration of Beneficial and starting obviously to harvest all the long term growth opportunities we see with that; and then the delivery transformation that is being done in conjunction with that -- with that combination. And so that the combination of those two items are really the thing that's driving the -- the numbers in the -- in a three year strategic plan.
Russell Gunther: Makes sense. Okay, guys. Thanks so much. That's it from me.
Operator: Thank you. And our next question comes from Joe Gladue with Merion Capital Group. Your line is now open.
Joe Gladue: Yeah. I'm sorry. My questions have been answered. Thanks.
Operator: Thank you. And with no further questions in queue, I would now like to turn the conference back over to Mr. Rodger Levenson for closing remarks.
Rodger Levenson: Thank you. Thanks again for your time and attention. Dominic and I will be on the road. We'll be joining Mark in Investor Conference over the next -- in the next few weeks, and then we'll be on the road over the next couple of months, and we look forward to seeing many of you then. Thank you very much, and have a good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect. Everyone have a great day.